Operator: Good morning, ladies and gentlemen, and welcome to Avient Corporation's webcast to discuss the company's third quarter 2022 results. My name is Catherine, I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Joe Di Salvo, Vice President, Treasurer and Investor Relations. Please proceed.
Joe Di Salvo: Thank you, Catherine, and good morning to everyone joining us on the call today. Before beginning, we'd like to remind you that statements made during this webcast may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements will give current expectations or forecasts of future events and are not guarantees of future performance. They're based on management's expectation and involve a number of business risks and uncertainties, any of which could cause actual results to differ materially from those expressed in or implied by the forward-looking statements. Please refer to the investor presentation for this webcast for a number of factors that could cause actual results to differ.  During the discussion today, the company will use both GAAP and non-GAAP financial measures. Please refer to the presentation posted on the Avient website, where the company describes the non-GAAP measures and provides a reconciliation for historical non-GAAP financial measures to their most directly comparable GAAP financial measures. Joining me today is our Chairman, President and Chief Executive Officer, Bob Patterson; and Senior Vice President and Chief Financial Officer, Jamie Beggs. Now I will turn the call over to Bob.
Bob Patterson: Thanks, Joe, and good morning, everyone. On September 27, we issued a press release to provide revised EPS projections for the quarter and the year. Our projections were updated to include the acquisition of DSM Protective Materials, present the Distribution business as discontinued operations and adjust our outlook to reflect current demand conditions and weaker foreign exchange. At the time, we said the war in Ukraine and related energy supply concerns has significantly eroded consumer sentiment and demand in Europe, and we have not seen a recovery in Asia from the COVID-19 lockdowns in the first half of the year. And also that the economic environment is further challenged by rapidly rising interest rates in the U.S. which have negatively impacted demand trends in the Americas. In addition, we believe current global demand is likely further weakened by customer inventory destocking. And all of this remains true today, with further weakness now expected as a result of recently announced COVID lockdowns in China. And you may have read about that in connection with major manufacturers like Foxconn and the implications for brand owners, like Apple, but they're even further reaching than that. And we will certainly provide more color on each of these areas as our call progresses today. From a headline perspective, we are reducing our full year adjusted EPS guidance to $2.60. There's an additional $0.05 change to the pro forma estimate related to modeling, not demand, which Jamie will cover in her remarks. Now economists may debate the technical definition of a recession, but that is academic. We are experiencing lower demand for the reasons that I just mentioned, and that's happening now. And so to help ground us on the state of preparedness, I really wanted to spend a few minutes reminding everyone of the portfolio changes that we have made in the last few years and acknowledge the tremendous amount of change that has taken place since we last spoke. I'm extremely proud of what we have accomplished these last few months against this backdrop of challenging dynamic and macroeconomic circumstances. We achieved 2 key milestones which are part of a much bigger transformational story. I'm very pleased that we have been able to acquire DSM Protective Materials, now named Avient Protective Materials, or APM, and add the world-renowned Dyneema brand to our portfolio. In doing so, we have substantially increased our presence in the composite and fiber space, adding important technologies to our sustainable solutions portfolio. When we announced the deal in April, you'll recall that we also announced we were going to explore a sale of our Distribution segment, and we did this for 3 reasons. First, I believe there was a perception potentially held by investors and potential buyers that we wouldn't sell Distribution. Announcing the potential sale was really an effective way to gauge the broader interest in the business. We publicly put all potential buyers on notice that we were going to run a sale process, which quickly became competitive. The second reason was I wanted to convey the sale as a potential next step on our multiyear journey to becoming a pure-play specialty formulator. Our Distribution business has been part of our company since it was created back in 2000. Though it was not a formulation business, it did play an important role in our growth story and certainly helped us fund our specialty investments. As you saw from our announcement yesterday, the divestiture of Distribution is now complete. I'm really pleased that distribution has found a good home with H.I.G. Capital as they will continue to represent Avient in the marketplace as a distributor for certain materials in our portfolio. And the third and final reason for announcing the sale and, ultimately, proceeding with it was so that we could remain modestly levered, which would protect us in a downturn while also providing capacity for future acquisitions when the time is right. And we did what we said we would do. We are using the proceeds from the distribution sale to pay down debt. We remain modestly levered, have no near-term maturities of debt and substantial liquidity. In short, we are very well positioned to navigate these challenging near-term market conditions. Demand is down and all signs point to a recession. This is reflected in current equity market sentiment as share prices are down, including Avient. And perhaps some element of our particular situation is effectuated by all these changes in the last few months. Recall that just a few years ago, there was another important portfolio shift we were executing, and this kind of reminds me of the similar dynamic. In 2019, we divested a legacy business segment of the original Avient, called Performance, Products and Solutions, primarily constituting our Geon brand and PVC-based materials. A few months later, we announced our agreement to acquire Clariant's Color business. At the time, both transactions were very well received. That is until the pandemic hit in early 2020. Although it was a different impetus, a very similar environment ensued with market disruption, volatility and uncertainty. Despite prevailing market fears during the early days of the pandemic, we confirmed that we would stay the course with respect to Clariant and our strategy. We knew that the Clariant Color acquisition was the right 1 and that it would create value for the near term and long term. And it certainly has. We bought a business that generated around $130 million of EBITDA. And today, the acquisition plus synergies are adding just over $200 million 2 years later. EBITDA margins have expanded from around 12% to over 16%. And in terms of our purchase price, it has dropped as a multiple from 10.8% to just over 6 times. What I think is most compelling about the deal, however, really is the combined strength of the legacy Clariant and legacy PolyOne businesses, and that we've been able to create an enterprise that was better prepared to take care of customers during the COVID pandemic and take share. We are the #1 provider of specialty color and additive solutions today. And it's an important reminder to stay the course in good times and bad, just as we are right now. Clariant Color and APM are the 2 largest acquisitions we have done, but we've also established a track record of bolt-on acquisition success. From thermoplastic elastomers to specialty colorants and performance additives, to building a now thriving composites business from scratch. Acquisitions have played an important role in transforming our portfolio. And so have divestitures, which we exited businesses along the way that were more commodity and volume driven. The following slide provides a snapshot of bolt-on acquisition performance for established deals that we've had for over 7 years. And the value creation story is similar to that of Clariant, but it's also rooted in our invest-to-grow approach to integration. We invest heavily in commercial excellence. This is often an underinvested area of smaller companies that we identify. Yet it offers tremendous opportunity for Avient and our customers. We increased sales, marketing and R&D resources, then trained employees and provide them the tools they need to serve customers with the highest levels of innovation, service and delivery. The growth and value creation of those businesses are significant. And when combined with the historic change in culture, philosophy and the way we go to market, we really are now a pure-play specialty formulator of sustainable solutions. It's what we've been aiming for all these years, but not because it's a finish line. In fact, I really view this as a launching off point for us as a preeminent global leader in sustainable solutions. Not many people could have imagined back in 2005, we'd be where we are today. And that specialty transformation of our company ran a natural parallel with our goal to improve our end market mix. If you went back to 2006, presented on the chart on the left, you can see that the preponderance of our revenue was in housing, auto and industrial. Fast forward to 2022 and the end markets have changed dramatically. In the pro forma view on the right, over half of our revenues now come from consumer packaging and health care. And with Dyneema, we are protecting men and women in the military and law enforcement with defense applications. Here's another telling illustration of what moving from volume to value looks like as segment EBITDA margins have expanded substantially. This is aggregated on Slide 13, where you can see the total lift in EBITDA and margins over this time period. And on the next slide, you can see that as earnings have expanded, so has the cash we have returned to shareholders. A few weeks ago, we announced our 12th consecutive year of annualized dividend increases. An impressive record we're extremely proud of. With the recent and significant acquisitions of Clariant and APM, and our focus on delevering, we haven't bought back a lot of shares in the last couple of years, but over a longer time horizon, we certainly have. All told, we have returned over $1.5 billion in cash and dividends and buybacks. It's quite a story of growth and transformation through periods of immense macroeconomic, geopolitical and personal stress beginning with the Great Recession in 2008 and '09, including the COVID pandemic, which continues to challenge the world, and now, the events of today. And I think this is an incredibly important context to remember as we consider the current market conditions. I believe we've never been in a better position to handle challenges like the ones before us. And the reality is that business is down, and we're not immune to it. I think this is exacerbated in the near term by these COVID lockdowns in China and customer inventory destocking, which is taking place to a degree I have not seen before. I think much of this may be a correction in post-COVID buying behavior as well as the real effects of inflation, and the impact that is having on consumer spending and sentiment. Jamie is going to provide more details on our financial performance as well as how we are navigating these current trends. Jamie?
Jamie Beggs: Thank you, Bob. The transformation has indeed been on a full steam path for the 2 years I've been with the company. And I truly couldn't be more proud of the latest milestones we've completed since our last earnings call and even more so when you consider the present economic conditions. We updated our projections in our September 27 press release for the reasons Bob mentioned and to exclude intangible amortization. For the third quarter, our EPS from continuing operations of $0.59 was in line with our guidance of $0.58, a decline of 3% as reported, but an increase of 5% excluding negative foreign exchange on a year-over-year basis. The third quarter results shown on this slide include 1 month of Dyneema in the current year. Financing costs are higher than the ultimate run rate we will achieve following the pay down of debt with proceeds from the Distribution sale. That is why the increase in EBITDA does not translate to a similar increase in EPS in the third quarter. What's not immediately evident from this slide are the underlying changes in demand, price, mix and cost, which we will cover on the next slide. As we walk through the remaining financial slides, we have presented the information on a pro forma basis, which means APM is included for the entire period for both quarters presented. As Bob mentioned before, we have updated our pro forma modeling with more detailed information related to APM results in periods prior to our ownership, and some impacts associated with preliminary purchase price accounting. This resulted in a $0.05 change to our full year estimate. As it relates to demand, during the first half of the year, we reported declining demand related to a loss of sales in Russia, COVID lockdowns in China, and lower sales into the outdoor high-performance market. This is more than offset by price and mix as well as the performance of our other end markets. In the third quarter, demand further declined, resulting in an EBITDA impact of $39 million. With the exception of our business in Latin America, all regions are experiencing a downturn. Latin American sales are up 18%, driven by growth in packaging applications and extending our reach within the region. Europe, as you would expect, has been most heavily impacted as consumer sentiment has eroded with the ongoing war in Ukraine and the associated energy supply concerns, causing virtually all end markets to be down. We have not seen a recovery in Asia from the lockdowns in the first and second quarters, and with recently announced lockdowns in Q4, we won't this year. Although the region is experiencing its own economic challenges, this is also likely tied to lower demand in the U.S. and Canada, which is really the new news we highlighted in our September 27 release. U.S. and Canada represent about 40% of sales and their demand is down 9% year-over-year, with a large portion of that coming from consumer applications, including outdoor high performance. We believe inflation and higher interest rates are a significant factor in the shifting sentiment in the U.S. and Canada. This is further impacted by customer inventory destocking, which Bob mentioned previously. It's difficult to bifurcate the 2, but we are certainly hearing that from many customers across nearly every industry. The impact of these demand trends and earnings was lessened by the net benefit of our pricing actions. What I'd also point out on this slide is that in prior quarters, wage inflation has been a significant factor in cost increases, but now we are seeing much higher energy costs, most notably in Europe and particularly in our Engineered Materials segment. From a segment perspective, sales are down in both businesses due to lower demand, with Color's top line being more negatively impacted as virtually all of our exposure to Russia imports within the segment. And Color has a larger international footprint than the Engineered Materials business, with 65% of the business originating outside of the U.S. which more negatively impacted their results due to the strengthening U.S. dollar. Despite lower demand, exchange was able to increase EBITDA 7% year-over-year, excluding foreign exchange, due to commercial excellence on pricing, as well as lower costs associated with Clariant, synergies and reduced incentives. From an SEM perspective, pricing and mix have not been able to offset lower demand in consumer applications and higher energy costs in Europe. We added the next slide to highlight the impact of demand on EBITDA by end market. Industries such as defense, energy and telecommunications are holding up well and are effectively flat. As we move down the table, you'll see a relatively small impact from demand on packaging, which is our largest market, as well as health care and transportation. At this time, we believe these 3 markets are being impacted more by destocking than consumer demand. We believe end markets such as building and construction have been negatively impacted from rising interest rates and overall inflation, which is influencing end customer demand. The end market that has been most impacted, which is listed towards the bottom of this table, has been consumer. About 1/3 of this is directly tied to outdoor high performance, which is already down this year. The remaining decline is likely a combination of end-user demand and destocking tied to retail inventory reductions. On the next slide, you can see how the current demand is impacting our key growth drivers as well as the impact of pricing power by each. While sales in Sustainable Solution's up year-over-year due to pricing initiatives, demand is down as customers draw down inventory. A significant portion of our Sustainable Solutions portfolio is within the consumer and packaging space, where we see the highest levels of destocking by brand owners and retail suppliers. We are still confident in the long-term growth profile of this platform despite the short-term destocking we are experiencing in the value chain. Health care continues to be resilient in these challenging economic conditions as sales increased and higher-margin applications, such as drug delivery devices, medical equipment and catheters. We are starting to see a slowdown in COVID-related applications, such as those used in administrating the vaccine, and medical device applications are being impacted by chip shortages. With respect to composites, we have seen demand growth in energy and telecom, driven at least partially by 5G infrastructure build-out. This, coupled with pricing initiatives, has more than offset the decline in consumer applications. As we mentioned this morning, we expect full year 2022 adjusted EPS from continuing operations to be $2.60 and pro forma adjusted EPS to be $2.95. As a reminder, the continuing operations figures include APM for the period of ownership since September 1, and the pro forma figures include APM's full year results as well as the full year impact of using Distribution sale net proceeds to pay down debt. And I'd like to end on that point. We've acquired an amazing business with Dyneema, the world's strongest fiber, at a value that will be accretive to our shareholders. We completed the transformation of our company to be a 100% specialty formulator with the divestiture of? Distribution. We've accomplished those significant portfolio moves in a short time window and under incredibly difficult market conditions. We did both of these transactions with a keen focus on maintaining a strong balance sheet and having an ability to keep investing, even with the economic uncertainty ahead of us. We are using all of the after-tax proceeds from the sale of distribution of $750 million to retire our 2023 notes and a portion of our outstanding term loans. This will allow us to be modestly levered at 3.1x net debt to EBITDA by year-end. We have ample liquidity today, which will only continue to grow due to the asset-light and high free cash flow nature of our businesses. As Bob has mentioned before, we are in a great position to not only weather the current economic environment, but to also stay focused on our long-term strategy of growing and investing in our business with a focus on our key growth drivers. With that, I'll turn the call back over to Bob.
Bob Patterson: Well, thanks, Jamie. And today, we -- I've made some comparisons today to the COVID pandemic to illustrate how we have run the company during challenging times. But clearly, today's environment is not exactly the same as it was in 2020. There is more geopolitical tension, energy availability concerns in Europe, customer destocking, and we are all living with what may become one of the longest fallouts from the pandemic, stifling inflation. Demand is down, but we'll get through it. We have a strong balance sheet, as Jamie said. We'll continue to control discretionary spending and accelerate remaining synergy capture from the Clariant acquisition. But I also see this as an opportunity for us to further differentiate with our customers. We're going to accentuate the unique hallmarks of why they choose Avient as their partner, that's exceptional customer service and delivery, continuous investments in innovation and utilizing our global team and manufacturing footprint to flex wherever and whenever they need us to in this volatile environment. Doing these things and doing them well, not only keeps us more resilient in the short term, but it's building customer loyalty and setting us up for long-term success when demand recovers, and it will. So while we are all so laser-focused on the economic conditions and performance, it's a good time to step back and remember another important learning from the pandemic, and that is a practicing empathy. There is a war still going on in the Ukraine. Many families in Europe are worried if they're going to have heat. And there's a ton to navigate in the personal lives of our associates and our customers. So as we work hard to win in this downturn, we will do so with empathy and compassion, always recognizing the bigger factors of state. And with that, we'll open it up for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Frank Mitsch with Fermium Research.
Frank Mitsch: But so you talked about this destock being greater than you've seen in the past, and I'm wondering if you could offer us some color on the pace of the destock that you've seen relative to 3Q and then into 4Q so far? And if there are any material differences by the segments?
Bob Patterson : Yes. I mean the pace really did pick up in -- I think the first time we really started to see that was in August orders picked up in September. October kind of came in in-line with forecast as we adjusted it in September, but then really dropped off again in November. So maybe to give you some perspective. Right now, the fourth quarter forecast has got sales being down about 14%, October was about 9%, but November is really up around 16% or so. So it does seem to be taking place faster as we get closer to the end of the year.
Frank Mitsch: Got you. Understood. And then, Jamie, I think you indicated that at the end of the year, net debt-to-EBITDA will be about 3.1x. And I'm wondering what your target is for that metric? And what's the game plan to get there and time frame to get there?
Jamie Beggs: Yes. Our overall philosophy is to be under 3x, and that's obviously what we've communicated, I think, in other conversations with Clariant where we started at 3.5x. Now that we're starting at 3.1%, and because of the high cash flow nature of our businesses, we expect to keep on that path to get down closer to under 3%, and thus we saw between 2 and 3x.
Frank Mitsch: And then when you get -- just a follow up, and when you get there, would there be a reconsideration of buybacks at that point?
Bob Patterson : Yes. I think along the way, there certainly will be, I think we can be balanced in that regard. Obviously, we need to see what next year looks like from an EBITDA and a performance standpoint. I mean, clearly, we're at the front edge of declining demand. So we just need to put that into perspective of what next year looks like. But as I made in my remarks today, we have bought back a lot of shares in the past. We just haven't done it in the last couple of years because of these acquisitions. So obviously, with the share price where it is, it's attractive, and we'll give that some consideration as we go forward, just keeping leverage in mind.
Operator: Our next question comes from Mike Harrison with Seaport Research Partners.
Mike Harrison: I wanted to ask you, Bob, if you can walk through the consumer business and kind of help us understand in maybe a little bit more detail what's going on there. I guess our view, in general, is that consumer equals defensive. But it seems like within your business, there are some pieces that are more discretionary and seeing some pressure, and there are also some areas that are more stable-like and should be more steady. So can you help break that business down for us and maybe talk about what you're seeing right now?
Bob Patterson : Yes. And we can spend more time on this after you have a chance to kind of look at the slides further. But on Slide 19, you can see what the EBITDA impact is on consumer at about $15 million. Obviously, that's the most significant. And I think around $9 million or so that is really probably in the discretionary sector versus the balance, probably consumer staples to sort of broadly categorize between the 2, and we've included them all together there. Outdoor high performance is one. I mean, clearly when we started at the beginning of this year, we knew that was going to be down, but it's down even more probably than initially thought. And in general, Mike, I really think that there is a pretty significant curtailment of consumer spending and consumer sentiment for things in the outdoor industry and/or even in the consumer staples area, in terms of home appliances and small items for that fact on the staple side. So Hopefully, that helps as a starting point, but give that some more thought and if you get a chance we can follow up on that slide.
Mike Harrison: Yes, that sounds good. And then I was also hoping that you could talk a little bit about -- you mentioned some additional synergies yet to come from Clariant. I know that with the Dyneema business, you guys have mentioned that they have some operational best practices that might be leveraged across some of your other composites facilities. Maybe just talk a little bit about how much additional cost takeout there could be between those 2 things and maybe some pullback on discretionary spending that you referenced in your remarks.
Bob Patterson : Yes. I mean there was one connection there, I think, you were making between APM and Color, and it really isn't one in terms of learning between the 2 or if I misheard you, I apologize. But then with respect to the Clariant synergies, I think there are more things that we can do from an operational perspective that we're giving consideration to. Recall that I think clearly putting these 2 businesses together during the pandemic, really was a source of strength and we were able to take share. Obviously, as we look at current demand trends, there's an opportunity to, I think, do some more work from an operations perspective that we just clearly weren't able to do in the last couple of years. So it's not new plans. It's just probably, I think, getting to those plans as the best way I would describe that. And then on the discretionary spending side, we're in the process right now of trying to roll up a view of next year. You can imagine the challenges with doing that, but everyone is going to be very mindful of controlling headcount additions and just, in general, spending in travel and so on to be very prudent next year. So I’ll have more to say on that, I'm sure, when we get to the fourth quarter results.
Jamie Beggs: And Mike, so I know this is -- you probably heard this before, but we're on track to deliver $75 million of Clariant synergies within 2022. And we previously announced getting to $85 million in synergies, so we're definitely on path for that. And to Bob's point, whether or not we can accelerate those into a shorter time frame, I think, is where we're headed. And we'll obviously give an update when we give full year guidance for 2023.
Mike Harrison: All right. And then -- sorry, just to clarify my question on Dyneema. It's -- my understanding is that there were some best practices that they had on their operations and that you might be able to leverage those into your composites business. Maybe just take some -- again, taking some best manufacturing practices and finding ways to improve yields, improve productivity within composites.
Bob Patterson : Yes. Sorry, if I lumped that in with Color, it was my mistake. But yes, I mean, absolutely, I think the Dyneema business does some things incredibly well. Obviously, as world-class technology and innovation, and I'm guessing we're going to be able to learn a lot from that as well as manufacturing. So I think as the teams get more opportunities to spend together that will absolutely come to fruition.
Operator: We have a question from Michael Sison from Wells Fargo.
Michael Sison: I guess, Bob, I appreciate the slide regarding the new portfolio being less cyclical. But when you look at the first half, I think your volumes are down 6%, second half looks like the volumes are going to be down, I don't know, double digits. If you have a specific number, let us know. Does it really feel that cyclical? And maybe -- and I know your goal is to grow 6.5%. So maybe give us a little bit of color of why volumes seem less -- seem more cyclical than they should be. And maybe -- just maybe any thoughts on if that's really the case.
Bob Patterson : Well, I think, first of all, I'd say relative comment. And when you look at the portfolio back in 2008 and 2009 in that recession, volume was down 36%. So to be down 12%, it actually is less cyclical. So I think that's directionally correct. I think we're actually feeling that right now and seeing that in the fourth quarter. I really think, though, that customer inventory destocking is playing a pretty significant factor in the fourth quarter. I wish I could bifurcate the 2 and have better visibility to that. And that's one of the reasons why I think you're seeing that impact Q4 so significantly and seeing the corresponding EPS decline as a result. But anyway, when I look at 12%, its certainly much better than what it looked like going through '08 and '09.
Michael Sison: Got it. And then when you think about 2023, and I understand a little bit early. Obviously, the consensus view is we are going to go into recession. Could you give us sort of what you think the portfolio would generate in sort of a soft recession or a hard recession? I mean what type of volume declines do you think you would see in that scenario?
Bob Patterson : Yes. Well, when we did the -- I mean, just to reference that '08, '09 scenario, looking back on that at being 35% or 36%, when we ran a similar model with our existing portfolio today in that type of a demand downturn, we did actually project it would be around 12%. So I still think that's a good long-term view to think about what that's going to be like in this present recession. It may be down a little bit more in the fourth quarter again because of destocking, but I still think that is a good way to think about what that looks like. So look, we haven't given any guidance yet for '23. But clearly, we're at the beginning of this downturn. So some of that's going to go into '23 for sure.
Michael Sison: Got it. And just a quick follow-up. So 12% down is for the full year '22. And then what would the second half be?
Bob Patterson : No, I wasn't saying 12% down. I think I was just referencing kind of a present demand dynamic that we're seeing right now between Q3 and Q4. So I don't have the math on the top of my head there on how that plays for the full year.
Operator: Our next question comes from Angel Castillo with Morgan Stanley.
Angel Castillo: I just wanted to get a little bit more color on the destocking that you're seeing. I think you indicated, obviously, that's continuing here in the fourth quarter, and November seem to get a little bit worse. First, could you give us a little bit more of a sense of maybe what pockets or factors maybe saw more demand compression in November versus where we were kind of in October? And then as you think about the fourth quarter, how do you kind of think about how much of that maybe is destocking versus just seasonality and other kind of broader trends in your guidance?
Bob Patterson : Yes. I mean, again, looking at that Slide 19 that was in our deck, I think when you look at -- I mean, obviously, defense, energy, telecom, relatively flat year-over-year. I think we're seeing destocking in the middle 3 categories. I mean transportation is already down, so I think what we're seeing there is some destocking. And then in the final 3, probably a combination of destocking in consumer and demand. Really hard to bifurcate the 2. I wish I had better visibility to that, but it's very challenging. What I can say is that, look, buying behavior has changed dramatically in the last month or 2, where if you went back a year ago, people were placing orders significantly further ahead than what they needed. They were placing orders for more than they needed. And I'm sure that has resulted in a buildup of inventory, and now the demand is pulling back, everyone's correcting it. So again, I wish I had a better number on carving out the 2. But certainly, I think that's played a big role in Q3, will be even bigger factor in Q4.
Angel Castillo: And maybe just a quick follow-up to that. Do you kind of expect that to continue into early '23, like first quarter?
Bob Patterson : I mean, right now, I feel like the -- I think the downturn is not really sustainable in terms of alignment with consumer demand, because I don't think the demand is down as much as what we're actually seeing. So I don't think that takes place for very long. And I would believe that at some point in time in the first quarter, that starts to correct itself.
Angel Castillo: Got it. That's helpful. And then just more broadly on Dyneema, now that you've had that asset for a couple of months. Any kind of positive surprises or negative surprises as you start going through the integration process?
Bob Patterson : Look, all good so far. And it's been just a little bit over a month. So really happy with the team that's joining us. I think they're pretty energized about becoming part of Avient as well. So the feeling is mutual. That's a great start. Obviously, we love the business that they're in. I think you can see one of the reasons why when you kind of look at defense on that Slide 19, obviously, it's a defensive market for us and a challenging set of circumstances. So no, nothing else to really report on that. I think we're off to a good start.
Operator: And our next question comes from Laurence Alexander with Jefferies.
Dan Rizzo: This is Dan Rizzo on for Laurence. Just for clarification, the $295 million in pro forma -- well, I should say, the sales and EPS pro forma guidance for 2022, that also excludes the contributions from Distribution in the first half of the year, correct?
Jamie Beggs: That's correct.
Dan Rizzo: Okay. I just wanted to make sure. And then one of the things that others have talked about is concerns with energy curtailment amongst customers or amongst yourself. Is that something that could affect you guys? And is it something that you expect to affect your customers' production?
Bob Patterson : I mean I think the bigger concerns for us are probably -- I mean, I would just start with suppliers in Europe, particularly those that are in Germany. Look, at this point, I haven't seen that impact us or them for that matter, but I know it's on the table for discussion. And I would just imagine that, that would ultimately impact customers as well. I couldn't quantify that for you at this point, but that's the biggest areas of concern.
Dan Rizzo: Would there be a difference -- I guess, with the different end markets, obviously, health care wouldn’t -- I would think not be something that would be affected, but some of your I guess, more traditional industrial wood, is that how we should think about it as well?
Bob Patterson : Yes. I'm not sure it's that perfect. I mean, look, with respect to sources of supply, particularly in Europe and where base materials come from. So I mean I think that's something that governments will really have to weigh and think about as they -- if they need to ultimately curtail energy use, is that they still need to find a way to maintain supply to essential industries like health care. And I don't know exactly how that's going to take place at this point, but I'm certain that there would be -- and I would hope there would be some exceptions in that regard, and they'll look to importing in some fashion.
Operator: And our next question comes from David Huang with Deutsche Bank.
David Huang : Just going back to the Dyneema business. Can you talk about the volume trends you're seeing for Dyneema? And it looks like EBITDA margin was 28% in Q3, is that primarily due to higher energy costs? And can you also talk about your expectation for Dyneema margins going to Q4 in '23?
Bob Patterson : Yes. So first of all, hi, David. Secondly, I'd say that Dyneema and the APM business is a more energy-intensive business than the legacy Avient businesses. We are feeling that right now for sure, that is impacting the numbers in Q3, will do probably even -- maybe it's about flat between Q3 and Q4 about the same year-over-year. That margin number you're referencing is about spot on, and that's where I kind of expect things to end the year.
David Huang : And then I guess just taking the macro forecast and what you're seeing as it is, can you talk about your playbook for '23? And I know you don't give guidance, but can you talk about your confidence level in growing EBITDA in '23?
Bob Patterson : Well, at this point, I mean, looking at what the fourth quarter looks like and how much EBITDA is down, I don't think EBITDA is going to go up in the first part of 2023. We haven't given any guidance. But if I see some demand trends continuing into the beginning of next year, then I think that's going to be a tough hurdle to get over at least in the first half. We really are just in the beginning stages of kind of formulating our view on '23. That's something we normally do after we provide our fourth quarter update in late January or February. And hopefully, we're prepared to do it at that time. But look, right now, I mean, demand is down significantly. We're in a recession. This isn't going to be over in 90 days. So I really think we've got a tough road ahead of us here for probably at least a couple of quarters.
Operator: And we have a question from Eric Petrie with Citi.
Eric Petrie: Can you talk about in a little more detail, the larger buckets in sustainable solutions like lightweighting? And then any update on recycling solution efforts by your customers?
Bob Patterson : Yes. I mean the first thing I would point out, and Jamie made this, I think, commented just in comparing some of the different bridge schedules that we have in here, that you can look at sustainable solutions and see that it's kind of roughly flat, I think, on an OI basis, but packaging is down. So what you do see is that you've got favorable pricing and mix kind of more than offsetting what you see in demand down. I think a lot of that is actually due to destocking more than anything else in packaging. It's not due to loss of share or due to people shifting from a sustainable solution to one that's not. I don't really think that's still in place, it's mostly just destocking. And I'd certainly say that there's still a high degree of energy and interest, and being able to use more recycled content and to make products more easily recyclable. I do think there's a dynamic coming though with higher level of inflation. And it won't really be about customers changing the mix of their product as much as there might be a change in sort of how consumers think about major brands versus store brands and so on. I think that has yet to play out. I don't think that's happening right now, but certainly could in the future. So anyway, still positive trends on lightweighting and recycled solutions, probably is the 2 biggest year-to-date when I look at overall what's driving that, to maybe answer your question more succinctly.
Eric Petrie: Okay. And then secondly, can you just remind us how much in terms of earnings, outdoor high performance is down year-to-date? And then when do you think destocking completes and kind of anniversaries that?
Bob Patterson : Yes. It's down about, I think, $14 million for the full year, and we're really in the process -- I mean, last year's fourth quarter was weak. So I think we're right on the edge of lapping that, absent any further destocking or something like that that takes place this year. But I don't think the year-over-year change is going to be that big in Q4.
Operator: Thank you.
Bob Patterson : That was our last question. I just want to say thanks, everybody, for joining us on the call today. We look forward to giving you an update after we've concluded our fourth quarter results. And as always, if you have other questions, please give us a call. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.